Operator: Ladies and gentlemen, thank you for standing by for Autohome's Second Quarter and Interim 2025 Earnings Conference Call. [Operator Instructions] As a reminder, this conference call is being recorded. If you have any objections, you may disconnect at this time. A live and archived webcast of this earnings conference call will also be available on Autohome's IR website. It is now my pleasure to introduce your host, Mr. Sterling Song, Autohome's IR Director. Mr. Song, please go ahead.
Sterling Song: Thank you, operator. Good morning, everyone, and welcome to Autohome's Second Quarter and Interim 2025 Earnings Conference Call. Earlier today, Autohome distributed its earnings release, which can be found on the company's IR website at ir.autohome.com.cn. Joining me on today's call are Chief Executive Officer, Mr. Song Yang; and Chief Financial Officer, Mr. Craig Yan Zeng. Management will go through their prepared remarks first, which will be followed by a Q&A session where they will be available to answer questions. Before we continue, please note that the discussion today will contain forward-looking statements made under the safe harbor provisions of the U.S. Private Securities Litigation Reform Act of 1995. Forward-looking statements are subject to risks and uncertainties that may cause actual results to differ materially from our current expectations. Potential risks and uncertainties include, but are not limited to, those outlined in our public filings with the U.S. Securities and Exchange Commission and the Hong Kong Stock Exchange. Autohome doesn't undertake any obligation to update any forward-looking statements, except as required under applicable law. Please also note that Autohome's earnings press release and this conference call include discussions of certain unaudited non-GAAP financial measures. A reconciliation of the non-GAAP measures to the most directly comparable GAAP measures can be found in our earnings release. I will now turn the call over to Autohome's CEO, Mr. Yang, for opening remarks. Please go ahead, Mr. Yang.
Song Yang: [Interpreted] Thank you, Sterling. Hello, everyone. This is Song Yang. Thank you for joining our earnings conference call today. In the first half of the year, we made steady progress in advancing our O2O strategy by effectively optimizing the synergies between our online and offline resources, we improved both user experience and service quality. At the same time, we accelerated AI-driven product innovation and upgrades, leveraging intelligent technologies as a core enabler to empower user decision-making and help customers reduce costs while improving efficiency. On the new retail front, we are redefining the automotive consumer experience through technology. Online, our [ Buy For Me ] live stream enables multi-vehicle comparisons and citywide trial inquiries. Offline, we deliver differentiated experience through 3 key services: immersive VR movie, AI-assisted test driving with car owner guidance, and AI-powered purchasing assistance. These innovations significantly reduced transaction costs for both ends, users and customers, creating a complete online to offline service ecosystem. As of the second quarter, the number of new retail franchise stores has surpassed 200, continuously expanding our service coverage and reaching a broader consumer base. In terms of AI technology applications, we've created end-to-end intelligent solutions. For consumers, our AI Smart Assistant now covers all scenarios for both new and used cars with industry-leading performance in question and answer. For dealerships, we've integrated AI technology into the entire customer journey from marketing to customer acquisition to transaction conversion and to after-sales services, creating a comprehensive and close digital marketing loop that enhances operational efficiency. To date, we've already served over 50 automotive brands. Additionally, we've established an extensive ecosystem of alliances and continue to expand our partnership network through strategic collaboration with leading platforms, including Alipay. Through jointly developed channels and co-branded marketing initiatives, we've built a comprehensive user engagement network to amplify our brand influence. Notably in late June, we officially launched the international version of Autohome website, featuring over 1,900 vehicle models from 52 Chinese automobile brands going global. This, not only provides substantial support for the globalization of China's auto industry, but also marks a crucial step forward in our international business expansion. Looking forward, we will continue to expand AI applications across our products and services and deepen the deployment of our automotive ecosystem by capitalizing on the industry trends of electrification, intelligence and globalization will further drive the transformation of the automotive consumer experience. With that, I will now turn the call over to our Chief Financial Officer, Craig Zeng, for a closer look at the second quarter 2025 operating and financial results.
Yan Zeng: [Interpreted] Thank you, Mr. Yang. Hello, everyone. I'm Craig Zeng, the CFO of Autohome. In the second quarter, we reinforced our brand position as a go-to platform for discovering new car launches with the position of for new car launching come to Autohome. We did this by developing a comprehensive new vehicle content matrix centered around live streaming. This initiative focuses on 4 key dimensions: the view showcasing, initial test driving, professional testing and technical intelligence, effectively driving the content growth around new vehicle consumption. For example, in June, we launched the Autohome new car first test program and created a special feature titled, the Ultimate New Energy SUV Showdown. This intensive testing marathon delivered more than 50 hours of intensive testing live streaming across 5 vehicles in 5 days, generating over 160 million views across various platforms. The program, not only strengthened consumer understanding of newly launched vehicles, but also significantly enhanced Autohome's industry influence as a trusted authority in professional vehicle assessment. In June, at the International Automotive & Supply Chain Expo in Hong Kong, we took Chinese brand globalization as our core theme. Through a continuous 6-hour bilingual live streaming in both Chinese and English, we showcased the exhibition highlights while establishing a dedicated interactive technology zone to demonstrate Autohome's cutting-edge AI technology and VR innovation to global audiences. This initiative, together with the launch of the international version of Autohome website mentioned by Mr. Yang, underscores our strong progress in supporting Chinese auto brands in their global expansion and promoting our global capabilities. Additionally, we continue to expand our traffic alliance network by promoting multi-platform and multi-scenario collaboration to create synergies across the entire value chain, further enhancing Autohome's brand popularity and industry influence. A prime example is our strategic partnership with Alipay Auto Life service sector in May. Together, we launched a dedicated card billing and selection service for Alipay users and certified car owners, including a special subsidy section to serve trade-ins and potential car buyers. According to QuestMobile, our average mobile DAUs reached 75.74 million in June 2025, up by 11.5% from the same period last year, reflecting our sustained growth in user scale and expanding platform influence. Turning to NEV. Our new retail business is committed to building a one-stop automotive ecosystem, empowering customer service through emerging technologies. Online, we use polygraphics live streaming technology and expand digital services into offline experiences. The Autohome Space stores leveraged immersive VR movie as a new driver of store traffic and performed multi-vehicle testing driving with real car owners to increase trust and improve conversion rates. Meanwhile, our AI-powered car purchasing assistant provides objective and neutral vehicle recommendations, further improving in-store service efficiency. As of the second quarter, total number of Autohome Space and satellite stores has reached more than 200. Total revenues from NEVs in the second quarter, including those from the new retail business continued to grow, increasing by 27% from last year. On digitalization, we've adopted a development strategy centered on data plus technology as the core development driver, integrate our proprietary data resources and industry analysis models to upgrade and launched 5 major digital intelligence product lines, including AI Marketing Brain, AI Customer Acquisition, AI Leads Master, AI Sales Champion and AI Vehicle Inspector. These tools empower a comprehensive range of marketing needs, including enabling accurate marketing decision-making, automating content creation with intelligent distribution, improving user engagement efficiency and store visit conversion strengthening frontline sales consultant capabilities, as well as providing vehicle condition and pricing inquiry systems. Powered by AI, we've redefined the entire marketing value chain, delivering a comprehensive set of intelligent solutions from insight to conversion for our partners, which effectively drives improvements in customer business efficiency. In our used car business, we continue to enhance the integration of our online and offline services system. In late June, we officially launched our flagship Certified Used Car section, featuring carefully selected top-tier brands for cooperation and strictly controlling used car dealer qualification. Each used vehicle in the store comes with comprehensive inspection reports to ensure the safety and transparency of vehicle conditions. Additionally, we also provide reliable aftersales support, ensuring that what consumers see online is what they get offline. At present, we have already onboarded our first group of dealers to our platform. In the future, we will continue to prioritize integrity and standardized processes as our principles, expand cooperation with leading auto dealers, increase the coverage of high-quality vehicle sources and enable consumers to purchase with greater peace of mind in their purchasing journey. In summary, we are accelerating the implementation of our auto development strategy while continuously incubating new growth drivers and are fully committed to building Autohome into an authoritative professional information platform and a seamless transaction platform. We will focus on the long term, continue to broaden our business horizon with new technologies and create a more efficient automotive service ecosystem to promote our steady development. With that, now please let me briefly walk you through the key financials for the second quarter of 2025. Please note that I will reference RMB only in my discussion today, unless otherwise stated. Net revenues for the second quarter were CNY 1.76 billion. Breaking it down, media services revenues were CNY 279 million, leads generation services revenues were CNY 733 million and online marketplace and others revenues were CNY 746 million, up 20.5% year-over-year. On cost, cost of revenues in the second quarter was CNY 503 million compared to CNY 346 million in the second quarter of 2024. Gross margin in the second quarter was 71.4% compared to 81.5% during the same period last year. Turning to operating expenses. Sales and marketing expenses in the second quarter were CNY 630 million compared to CNY 753 million in the second quarter of 2024. Product and development expenses were CNY 253 million compared to CNY 315 million in the second quarter of last year. General and administrative expenses were CNY 133 million compared to CNY 118 million during the same period last year. Overall, we delivered an operating profit of CNY 297 million in the second quarter compared to CNY 412 million for the same period of 2024. Adjusted net income attributable to Autohome was CNY 476 million in the second quarter compared to CNY 572 million in the corresponding period of 2024. Non-GAAP basic and diluted earnings per share in the second quarter were both CNY 1.01 compared to CNY 1.18 in the corresponding period of 2024. Non-GAAP basic and diluted earnings per ADS in the second quarter were CNY 4.06 and CNY 4.04, respectively, compared to CNY 4.72 and CNY 4.71, respectively, in the corresponding period of 2024. As of June 30, 2025, our balance sheet remains robust with cash, cash equivalents and short-term investments of CNY 22.05 billion. We generated net operating cash flow of CNY 495 million in the second quarter. On September 4, 2024, our Board of Directors authorized a new share repurchase program under which we are committed to repurchase up to USD 200 million of Autohome's ADS for a period not to exceed 12 months thereafter. As of July 25, 2025, we have repurchased approximately 5.35 million ADS for a total cost of approximately USD 142 million. Okay. The above is our financial summary. With that, now we are ready to open up the Q&A session. Operator, please open the line for Q&A.
Operator: [Operator Instructions] Our first question coming from the line of Thomas Chong with Jefferies.
Thomas Chong: [Interpreted] My question is about the media services revenue. Can management share your thoughts about the trend in the second half and also the expectations?
Yan Zeng: [Interpreted] Okay. Thank you for raising this question. As for the media service business, I believe that we'll continue to look at the OEM budgeting trend. Because we're still experiencing the price war, as a result, we still need some time for the price to go stable. And I believe that with the government's intervention and the policy being released, actually, we will expect that actually the OEMs profit will gradually recover and the OEMs will invest more in advertising budgets during the traditional peak season of Golden September and Silver October in the second half of the year. Well, at the same time, Autohome can also meet the needs of different manufacturers through online, offline integrated services and obtain automakers' budget through multiple channels. As a result, we think that in the second half of the year, we're more bullish about the media service business than the first half of the year.
Operator: Our next question coming from the line of Xiaodan Zhang with CICC.
Xiaodan Zhang: [Interpreted] So first of all, could management share your outlook on the auto market for the second half of 2025? And are there any updates on the shareholder return plans?
Song Yang: [Interpreted] Thank you for raising this question. [ Xiaodan ], I will take the first question, and the second question will be addressed by Mr. Zeng. First of all, let me share some of the recent market dynamics and the future trend. So first of all, we think that in order to cope with the price war of the auto industry, recently, we can see that the multiple government authorities have been releasing all kinds of policies for the guidance to fight against this kind of rat racing trend. So since July, we have seen that the price has been gradually going stable. And medium and long run, we think that the price war will going to be eased, and this will be very positive for the entire industry, as well as Autohome. And the second thing, we see that the auto market differentiation is intensifying. On the first hand, you can see sales volume and profits of the automakers are concentrating on the top players with the share of independent brands continue to rise. However, at the same time, due to trading price for volume, the overall profit of the auto industry is still under a lot of pressure. And thirdly, we can see that NEV continue to grow, but the growth rate has slowed down comparing with the second half of the year. And the third point I want to talk about is that, the auto exports have performed brightly. And according to the data from the China Passenger Car Association, in the first half of 2025, the China's passenger vehicle exports increased by 6.8% year-on-year, among which new energy vehicle exports increased by 48% Y-o-Y. So you can see that the Chinese automakers are accelerating their overseas expansion, and this will be very positive for Autohome. And based on the above-mentioned 3 understanding and forecast about the market trend, actually, in Autohome, we will also have the following strategies. First of all, we should say that we have been heavily investing in AI technologies, and there are lots of AI-related technologies, as well as deliverables. That is attributable to our efforts over the past 20 years, in particular in terms of the database, content creation, as well as AI-related research and development. So we have been quickly taking advantage of our AI strength in the above-mentioned area and turn it into the actual productivity. And specifically speaking, this will be showcasing online, offline as well as the product we delivered to our OEMs as well as dealers. And second, we will continue to heavily work on the O2O ecosystem, which is featuring online plus offline. We are actually the only Internet company with very large scale of the social media deployment in the auto sector. We understand that for the auto industry, it's heavily relied on the closed loop with both online plus offline. As a result, you cannot only rely on online service delivery to resolve all the consumer demand. So in the future, you're going to see that we will better connect our offline network with our online platform so as to continue to innovate our business models and deliver better performance. And such strategy is to actually closely go align with the going global trend of the Chinese market. As a result, Autohome is also very busy deploying our overseas resources. For example, in June of this year, in the Hong Kong Auto Expo, we actually served as the only official auto media partner of this Auto Expo, and we have been introducing the Chinese branded auto to the rest of the world. Well, at the same time, on June the 30th, we also launched the overseas version of the Autohome website. This is for the very first time we actually introduced the Chinese auto brands to the global consumers. And so far, we have been covered 6 countries and regions, including China, Hong Kong, Thailand, Saudi Arabia, United Kingdom, Australia and Brazil. It also covers more than 1,900 models. So you can see that actually, this is the first time ever that we have been doing this kind of media introduction in this way. And we also hope that through this international website, we can actually breach Chinese auto brands with the global consumers. I expect that this year, the overall Chinese auto export will be around 7 million units. And in the next 1 or 2 years, this number will increase to 10 million. So I think that this kind of overseas business deployment will also become the new growth curve for our business. So that's the answer for the first question. Now, I would like to hand the floor to Mr. Zeng.
Yan Zeng: [Interpreted] So in terms of the stock repurchase plan, I already gave you some briefing about these numbers. So I think that this will remain unchanged. And as committed by the Board, actually in the year 2025, the whole year cash dividend payout will be no lower than RMB 1.5 billion, and this will remain unchanged. And in the future, we will continue to return and reward our shareholders in a sustained manner.
Operator: Our next question coming from the line of Brian Gong with Citi.
Dapeng Gong: [Interpreted] So management just mentioned after the government's intervention, you have seen some improvement on the OEMs competition. How does management think about the industry competition in the second half this year? And if the competition for new car sales can ease, when could we see the used car industry could recover?
Song Yang: [Interpreted] So let me take these 2 questions. We have been seeing that since May till now, we have been witnessing that the government has been releasing the policies for several times and calling for the stop of the evolution-related growth and asked the OEMs to stop this kind of in orderly price war. Well, at the same time, we also see some of the brands, for example, BYD and Changan Automobile, et cetera, abolished this year one-price policy and only returned the trading policy or announced that reducing volume to maintain the price, et cetera. So you can see that the fundamental reason for this is because of the overcapacity. Because the production capacity keeps expanding, we have been witnessing that the sales as well as profit margin shifting towards the top-tier players. As a result, the small- and medium-sized OEMs will face a bigger pressure. And in the segmented area, we can see that luxury as well as joint venture brands has been losing shares. And the self-owned brand sales has been reducing from less than 50 -- has been increasing from less than 50% 3 years ago to more than 60% in the first half of this year. While at the same time, this kind of pressure on profit margin also forced OEMs to shift from size first or scale first to quality first. We also expect that through all of this policy guidance, the market will quickly go back to reasonable competition. Okay. The second question is about the secondhand vehicle. When can the market recover? We can see that this is closely related to the total car park or car ownership as well as the car age. Generally speaking, you can see that in China, the car ownership keep increasing, while the average car age retains at 6.8 years. Well, at the same time, a lot of people -- a lot of clients are interested in the secondhand vehicle, but they are still hesitant to purchase the secondhand vehicle. The reason can be attributable to the following several aspects. The first thing is because of the policy. Even though 8 government authorities, including MOFCOM has been initiated the car circulation and consumption reform pilot and also optimized the car registration mechanism. However, you can see there's still a lot of intransparency in terms of the car maintenance, repair as well as the other historical data. And secondly, we can see that Autohome as the top player in this industry, we have been making efforts to enhance industrial standards as well as the transparency. And since June the 27th, we have been launched the secondhand vehicle official flagship store. And the first deal signed was with Lei Shing Hong, and we help Lei Shing Hong to build a brand and promote online/offline integration of the services. And consumers if they want to find a source of the vehicle, they can directly come to the flagship store in the Autohome secondhand vehicle column. And all of the sources are validated pretty much guaranteed in terms of the quality. In addition, we also developed our own AI tools such as the used car AI Smart Assistant, photo car recognition, vehicle condition checking and car price checking tools. As we all know, used cars or secondhand vehicles are nonstandard products, which requires our AI Smart Assistant to have higher accuracy in replies and reply to each of the cars of the users is very different. These products are constantly being polished and upgraded. And this year, we also see that the car Circulation Association predicts that the secondhand vehicle sales will increase by 6.5% year-on-year. If actually the price war can be eased and mitigated and the price go to a stable trend, I believe that there will be more consumers choosing the secondhand vehicle.
Operator: Our next question coming from the line of Ritchie Sun with HSBC.
Ritchie Sun: [Interpreted] I have 2. First of all, regarding the NEV business, including the franchise stores. So what are the progress over there? And what is our thoughts on the second half and next year's development plan and expectations? And secondly, for the data products, so what is the progress? And can you update us on the late product suites that we have and any new product pipeline?
Song Yang: [Interpreted] And actually, thank you for raising this question. In terms of the scale, by the end of the second quarter, we can see that the total number of the stores already exceeds 200 covering both major cities as well as the lower-tier cities. And in terms of the functionality innovation, our Space stores has already integrated a lot of [indiscernible] functions such as 3D naked eye watching the cars and multiple car same screen comparison and multiple brands, one-stop purchase, et cetera, and also rely on our AI technologies. We also indigenously created a lot of AI function-related experiences such as AI buyers and car owners accompany AI comparison test to drive as well as the VR space blockbuster movie, et cetera, just to reshape the car consumption experience. In terms of the future development plan, actually, we will continue to deepen our business models and focusing on the product and services refined operation as well as iteration and upgrading and to enhance the single store operation efficiency as well as the customer reputation. And while at the same time, the revenue generation capacity of the rich new retail module will also be gradually enhanced. While at the same time, we will also continue to strengthen technology integration to integrate with AI big model, not only serving the terminal and consumer experience upgrading, but also to deliver more products and services based on this technology. And in the same time, we will also continue to deepen our market insights so as to serve our customers when they do have going global request. And in terms of our product metrics as well as business progress from the [ CAAM ], we have launched AI Smart Assistant for both new cars and secondhand cars. Based on the self-developed [indiscernible] large model, integrating almost 20 years of industrial accumulation of Autohome and professional knowledge base. Actually, we professionally answered users' car-related questions. While at the same time, for offline, we also have AI Buyer, the industry's first intelligent voice assistant integrating AI large model and ultra-high-definition 3D interaction technologies, supporting natural language dialogue and helping users customize car purchase plans and compare car sources and improve car selection efficiency. And for [ VN ] product, actually, I already said in my opening remarks and for all the OEMs, we have integrated 5 AI-related functions, both covering marketing, customer acquisition and customer reach out as well as store services. I already mentioned all of this content in my opening remarks. In terms of the future development trend of our data products, I believe that Autohome's strength is attributable to our more than 20 years professional content accumulation. We have both data users as well as the industrial know-how, and we [ will ] implement all kinds of solutions. In the future, we will continue to combine all of these strengths together so as to further accelerate our professional capabilities. On the one hand, we will continue to think about how to assist our customers to do refined operation to satisfy their individual life as well as personal demand, while on the other hand, we will continue to build Autohome's knowledge base to build the moat of the large language model era and continue to better serve our users and clients.
Operator: Thank you. There are no further questions at this time. I will now turn the conference back to management for closing comments.
Song Yang: [Interpreted] Thank you, everyone. Thank you for joining us today. We appreciate your support and look forward to updating you on our next quarter conference call in a few months' time. In the meantime, please feel free to contact us if you have any further questions or comments. Thank you. Bye-bye.
Operator: This concludes today's conference. Thank you for your participation. You may now disconnect. [Portions of this transcript that are marked [Interpreted] were spoken by an interpreter present on the live call.]